Jeff Quartermaine: Thank you very much. And welcome to this conference call, everybody, to talk about the quarterly report for March 2018. For the information of participants, I'm currently on my way back to Australia from West Africa where I've been for the last couple of weeks since the operations. I'm in Zurich to attend the European Gold Forum which shall be starting later today, hence the need to have this call at this particular time. I know it's not to everybody's liking, but no matter what time we choose it doesn't work for somebody, but anyway, hopefully, not too late. Now just having come from Cote d'Ivoire and Ghana, I have to say I'm very upbeat about the direction that Perseus is heading in. Things are progressing very smoothly on each of our three sites in West Africa. And the results from the March quarter that was released today only really serve to illustrate the basis for my optimism. Now as you will know, 2017 saw a strong resurgence in Perseus' operating performance across all fronts, particularly at Edikan, which up until then had been beset with a few challenges. In 2018, we've continued the trend of good production performance at Edikan, but also achieved milestones and delivered solid operating performance elsewhere, particularly Sissingué and Yaouré as well. The progress we've made in the last 15 months since the start of 2017 is starting to be recognized by some sections of the market, and along with the firming gold prices led to an improved share price performance in recent times. So that's always a good reason for me to feel optimistic and buoyant. But anyway, so the quarterly itself, well, looking at the group as a whole to start off with. Across both of our operations, we produced a combined total of 64,027 ounces for the quarter. That was 13% more than we produced in the previous quarter and 32% up on the corresponding period in 2017. All the costs at Sissingué were capitalized prior to declaring commercial production on the April 1. So we weren't able to report group operating costs as such. But the quarterly production cost at Edikan was US$994 per ounce with an all-in site cost of a touch over $1,100, $1,104 per ounce. Both of those were in line with the prior quarter and the corresponding period in 2017. We sold 59,182 ounces of gold at a weighted average cost price of $1,283 an ounce and generated cash at both of the mines. Now, as a result of the quarter's operating performance, our production and cost guidance for 2018 remains unchanged, up to the 140,000 to 160,000 ounces for the half year at $950 to $1,050 an ounce, so for the full year that's unchanged, 250,000, 285,000, at $950 to $1,100. Now, if you make a couple of quick observations about this, you'll note that for us to hit guidance, we need a fair increase in production in the June quarter relative to the March quarter. Now we're very confident about that for a number of reasons, not the least of which is we're going to have full three months of production contribution from Sissingué. And although it is still early days into - early in the quarter, but both of our mines are tracking very well at the moment ahead of internal forecast. So in the absence of any unforeseen event, we see absolutely no reason why we won't comfortably deliver on the plan. Now, from a financial perspective, our working capital has increased by A$18.2 million to A$40 million, that's about US$31 million at March 31, and that includes a cash and bullion of close to A$160 million and US$46 million, which has grown by $14 million over the quarter or 32% since December. We did have outstanding bank debt. It's running at US$65 million at the end of the quarter. Now, looking at the individual operations, so starting with Sissingué as it's our newest operation, I mentioned in the January teleconference that we had, that we put our first ore into the mill on January 13, poured our first gold on January 26. Since then, things have gone from strength to strength, culminating in us declaring commercial production at the end of the March quarter. And this was all achieved on schedule and bang on our budget of US$106 million, excluding early works. The ramp up to commercial production has gone very smoothly. And as our confidence in the plant has grown and our operators, most of whom come from the local villages have gained experience. We've progressively increased throughput, and the grade and the material throughout the quarter. Teething problems have been pretty few and far between. And those that have occurred had been dealt with fairly rapidly. In the March quarter, Sissingué produced 9,405 ounces of gold, the majority of which came in the month of March. And in that month, a head grade averaged 1.36 grams per tonne. Throughput rate was 213 tonne per hour. And we had an 86-hour shutdown right at the start of the month to tighten up bolts in the mill structure and few other things. But for the balance of the month, the runtime was running at around 92%, which for new operation with relatively unskilled operators that was extremely good. Perhaps the most pleasing KPI of the lot was the recovery rate, which in March averaged 97%, which is about 6% above what we have been forecasting to do. I should stress though that it is early days at Sissingué, and we are processing oxide ore, so it's way too early to be projecting these figures for the life of the mine, but it is enough to say that we've made a very good start, and hopefully, we can keep things going in the same vein from here. In terms of the grade and tonnage reconciliations, once again, it's very early days and the data needs to be treated carefully. But overall, the reconciliation to the end of - or in the March on the resource model to mill has been strongly positive in terms of tonnes of ore slightly negative on grade, but overall, strongly positive in contained gold. And I'm told that the under-call on grade at the top of ore body is fairly - not an unusual circumstance. And certainly, as we're heading deeper into the ore body, the grade profile performance is improving. So that's all very encouraging. In terms of operating costs, as I said during the quarter we've capitalized all cost net of revenue, so we haven't published those specifics. But, I can say we are pretty much in line with our expectations. We've been under forecast on a few items like power-draw, and therefore, diesel consumption, as well as key consumables such as cyanide. Offsetting the cost savings, diesel has increased relative to our estimate in the DFS and the USD:FCFA exchange rate has weakened as a result of the CFA being linked to the euro and that's strengthened against U.S. dollar. This means that costs such as local contractors and wages which are paid in CFA ultimately end up slightly more expensive in U.S. dollar terms. The other area where we have seen some inflation is in the cost of Ivorian professionals. The industry in Cote d'Ivoire is becoming more competitive. And there's not a huge pool of highly skilled people so getting the very good guys does cost—did cost a little more than we anticipated in the feasibility study. But overall, these things, the operating cost structure at Sissingué is very low relative to industry standards. And while there's been a little bit of up and down, we're not overly concerned around that, and we're certainly generating cash from the mine. And we expect this to continue strongly into the future. So we sold 5,000-odd ounces, 5,064 ounces of the Sissingué gold. We averaged US$1,341 an ounce U.S., which was well and surely above $1,200-odd that we used in the feasibility studies. So that's been good and it's given us a healthy margin. I should say that the operating performance that we saw in March has continued very strongly through into April, and we were averaging a grade very close to the forecast for the full 12 months at the level of 1.7 grams a tonne. And in terms of gold production, we are well and truly ahead of our internal targets, so that's very nice and encouraging. So Sissingué, it's up and running, it's a very well designed and built mine, it's got a good strong management team and the place is functioning very well. And we expect it to make a very significant contribution to Perseus for some time to come. We also think that the prospects of extending the mine life are very good. And to this end, having reached commercial production, we've given the go ahead to our exploration team to be following up on a number of near mine targets. And we're fairly confident that, that will yield additional mill feed for the Sissingué plant in the not too distant future. Our - with the completion of Sissingué, of course, apart from transitioning Perseus from a single mine, single country business to a multi-mine, multi-jurisdiction business, I think, we've been able to demonstrate fairly clearly that Perseus has got the capacity to develop projects both efficiently and effectively. And of course this augurs very well given that we're now embarked on our third project, which is development of the Yaouré, just also in Cote d'Ivoire. But more of that later on, I'll come back to that in a second. Turning first to Edikan. During the quarter, during the 2018 March quarter, we produced 54,622 ounces of gold, and we continue to trend the strong production that we established in the previous four quarters. This production level is down slightly on the previous quarter, about 4% down on the December quarter. And production was influenced by a couple of things. Firstly, the run time of the plant was about 5% lower than the prior quarter, mainly due to the fact that we brought forward a 72 hour maintenance shutdown from the June quarter into the March quarter, this was partially offset by higher early throughput rate. So the impact was ameliorated to a degree. I should say that the decision to bring this maintenance shut forwards, with - I should also say, it was completed ahead of schedule was a precautionary measure on our part, but it was made possible by the fact that Sissingué was performing so well. And it really serve to demonstrate the benefit of us now being a multi-mine operation. We're not so totally leveraged to one mine any longer, and we can make sensible, strategic decisions about how we go about our business. So that is a material change. The grade reconciliation and issues that had previously been causing us problems with Edikan appear to have been satisfactory resolved. Reconciliation of gold contained in the resource block model to grade control is close enough to 100% across all pits combined, and the reconciliation from the grade control model to the middle - the mine call factor is currently within industry standards. So there's no dramas there. We do concurrently mine from four different pits, and due to the variability in ore hardness, head grade, recoverability of gold across the different ore types in the four pits, head grade wasn't the sole determining factor in selecting mill feed to optimize gold production. So as a result of that while the grade was a bit higher than the previous quarters, almost 4% up on the previous quarter, the head grade of the ore that we processed wasn't as high as possible nor as high as previously forecast. Now noticed this morning that some early market commentary has - on the quarterly has mentioned grade and expressed a bit of disappointment around the grade for the quarter. Look, I'd like you to bear in mind that the average grade, it's an average grade we're reporting over the three months, let's see, the month of March, the grade was about 1.2 grams a tonne. And so far this month, it's about 1.25. So there's no doubt that we have the grade to feed. The question is at what's cost to throughput and recoveries. What we're trying to do is to maximize gold production not tick boxes. And what we need to do is to balance head grade with throughput rates and recovery. Let me assure you, it's a challenge to get it right on this front, and our team is doing done a terrific job in juggling all those variables every day. And we think that while it is challenging, we are on top of the situation. Now in respect to our costs, our all-in site costs are reasonably flat during the quarter. The actual unit cost, the mining decreased from US$3.49 to US$3.40. That was largely a result of increase in material mined. We are mining at deeper elevations with greater hole distances, but that incremental cost was offset by the fact that we've eased back a little on grade control, drilling, and also our drill and blast costs are down a little. So overall, that came down. The unit processing cost decreased 5% as well from US$10.08 previous quarter to US$9.11. And that was achieved notwithstanding a 5% decrease in the number of tonnes processed. Now the reduction in the cost base relative to prior periods, we think reflects something of a return to normal more than anything. In the last couple of quarters, we have incurred high maintenance costs relating to work that was being done on the crusher, and then some supplementing crushing costs and re-handling costs that were all associated with that. Now while we're still using mobile crushers to boost throughput from time to time, and using a front-end loader to feed ore to the crushers, these costs have eased - has also the cost of maintenance itself. So overall, the processing costs are getting back to where we want them to be. G&A costs are relatively flat quarter-on-quarter. They average about US$1.48 million, which is pretty standard. On a cost per ounce basis, the costs are reasonably stable. The production cost was down a little on the previous quarter. After accounting for a slight increase in royalties and a slight increase in sustaining capital, the all-in site cost was $1,104 per ounce, which is compared to $1,093 in the previous quarter, so it's pretty much exactly the same. The average cost of gold sold during the period was US$1,278 an ounce, so you can see that we are generating cash from Edikan as well. So in terms of Edikan, things are tracking fairly well. The fact is that Edikan is as large scale, low-grade set of ore body and there is little room for error, but if we work efficiently, as I believe we are, we can and do make money. And at the same time, importantly, we provide our shareholders with a fairly significant leverage to upward movements in gold price given the size of the resource and the reserve there. Our confidence in the future of Edikan is strong, it's very strong. And having just spent the last couple of days on-site last week with our team, I'm very comfortable that we're in good shape at Edikan probably - quite probably the best shape we've ever been and to be truthful. It is operating very, very well. Our team is working very hard. And as a group, we've reached the point, where most of the variables associated with the mine are either totally under control or at least understood. And what that means is that we can now look seriously at avenues to materially improve the business model of the mine, and improve return on funds employed. So we are looking at those things carefully. And hopefully, we'll have more to say about that in the not too distant future. I mentioned earlier our third project, Yaouré. And the fact that we're looking to embark on development of this project in the near future. Now as you know, we completed a definitive feasibility study of the project in late October last year and confirmed the high quality of the project and the significant contribution that it potentially will be making to - versus the short to medium terms. During this quarter, we authorized the start of an exploration program to follow-up some targets identified during the DFS sterilization program, as well as provide important information needed for front-end engineering and design. This program we believe will yield additional resources, which will ultimately be reserves. As, of course, we'll do follow-on program that we're going to be doing targeting some in-pit mineralization that's currently classified as inferred resources. And with additional drill density, this should be able to be converted into reserves later this year. So that will boost the mine life of Yaouré from 8.5 years as it was in the DFS to probably something closer to 10 by the time we get going with the project. Now, outside of the very obvious exploration targets, we've also got some other areas on the Yaouré tenements that need to be followed up as funding permits. And one such currency is to the northeast of the CMA mineralized zone. Now CMA contributes about 80% of Yaouré's reserves. So it's a very decent ore body. Now, we've been drilling in this area to the northeast for a few months now. And it looks like we've identified a new mineralized structure branching to the northeast there. It is very early days, but there does appear to be the continuity of the structure over about a kilometer or more. And as reported in the quarterly report today, some fairly healthy drill intercepts have been returned. So some AC drilling, Air-Core drilling to infill, between the initial lines and extend coverage will be carried out in the next quarter. And it is looking pretty interesting. So it goes to the point that the Yaouré project is an outstanding project actually. And we have every confidence that when developed, it's going to be contributing to us, our outcomes for very long time. Other things we did this quarter in relation to Yaouré, we lodged the application for the exploitation permit covering the project area. And that's currently with the minerals commission in Cote d'Ivoire. Then we've - we also completed a one-month period of community consultation during the quarter. This is a prerequisite for granting of the EP. So there's no significant issues raised by the host communities out of that. So, on the back of that the implications being actively considered. And we like to think that it will be granted in the fairly near future. Now also during the quarter, we engaged the services of a leading Australian based corporate adviser, Gresham Partners to assist us to evaluate the full range of financial or financing alternatives that are available to fund the Yaouré. In selecting components of our preferred funding package, our key objective has been to maximize returns for existing shareholders, but we've also been taking into account speed and risk of execution as well as maintaining corporate flexibility as we go forward. Now, evaluation of the alternatives was completed subsequent to the end of the quarter. And we went through our findings with our board in Africa about a week or so ago. We've got a couple of things to sort out before we get underway in terms of fully implementing that preferred financing plan. What we will be doing - but, we should get into that exercise pretty soon. Initially, what we will be doing is following a multi-streamed approach involving various types of debt products and internally generated cash, and progressively refining the funding packages as we go forward, and being open to any changes that may occur in the global financial markets that could impact on that funding plan as we go forward. We would like to have funding in place by the end of the year. But as we all know, organizing debt often takes longer than we think. So we're not in the position to make any hard promises on the timing of the funding. But certainly, we're targeting towards the end of the year for a decision around all that. Now, going forward, once the EP has been issued to us, as I said fairly soon we hope, we'll get on with paying land compensation to the relevant stakeholders, crop compensation. And we'll probably start some early works as soon as we practically, and to secure the site and facilitate a rapid ramp up to full scale construction once the development decision has been taken, which will need - obviously needs some financing in place. Now, I guess the other things that we're doing, I mean, the - we need to move into front-end engineering and design fairly shortly. That requires the completion of the drilling program, as I said earlier. What we also are doing at the present time is getting underway developing a comprehensive execution plan for the project, which will include a comprehensive contracting strategy, workforce planning, operational readiness, et cetera, et cetera. Now, I think the benefit of doing this sort of planning up-front was clearly demonstrated by the successful development of the Sissingué project. And speaking of that, what we've also done subsequent to the end of the Sissingué construction being completed is we've done a lessons-learned exercise, where we've looked at what we did well, what we can do better. And this information is also being fed into the development of the execution plan for Yaouré. So I think it also may be helpful in terms of making that project going forward. So we're moving forward with the Yaouré pretty much according to plan. And we're very excited about the project. We've got the team in place to develop it. We've managed to retain key people from our Sissingué team. And now as we demonstrated by that fairly slick development, we're very - we're looking forward to this. We're very confident in our ability to fund the project and we hope to get underway pretty shortly. Turning finally to corporate matters. So at the end of the March quarter, as I said, our working capital was about A$40-odd million, which is quite a big increase over where it was at the end of December. Our cash and bullion amounted to A$59 million at the end of the period, which was 31% more than it was in the - at the end of December. So it's up about A$14-odd million. That A$59.5 million comprised cash and bullion. The bullion on hand was 14,240 ounces. So that was valued at about A$24 million of the A$59 million, the cash was A$35 million. I said, we - the cash - the total indebtedness of the company stands at around $65 million. We have drawn the full $40 million under the Sissingué project financing facility, and we've got $25 million related to the working capital facility now that it's in the business, and we'll be progressively paying that down as we go forward. Our hedge position, about 166,000 ounces of gold sold forward at an average price of US$1,312 an ounce. It's about 4% of the ore reserves on a look-forward basis, so we're not overly hedged. We think that amount of hedging is quite prudent. It gives us a good level of confidence in our cash flows going forward. So I think that that's really helpful. So we're in a situation financially where we've got cash in the bank. We've got some credit available to us. We've got good, strong future cash flows and these are underpinned to some degree by a gold hedge at a historically good price. So suffice to say, we're in good shape financially. So overall, I think the results this quarter speak for themselves and have added very strongly to our investment case, as Perseus represents outstanding value at current market prices. And we're looking forward to - looking forward very much to the next quarter to continue the strong work and to continue to be able to bring very positive news to our shareholders. So thank you very much. Happy to take any questions that you may have at this moment. Thank you.
Operator: Thank you. [Operator Instructions] Your first question comes from Reg Spencer from Canaccord Genuity. Please go ahead.
Reg Spencer: Thank you. Good morning, Jeff, and thanks for taking my questions. A few from me, can I start with Edikan? I was just hoping you could provide a little bit more detail on the ore blending that you're doing at Edikan and how that might impact the grade profile going forward versus the previously published life of mine plan?
Jeff Quartermaine: Well, the blending exercise comes about, because as I said, we're mining from four pits. Some of those - some of the ore is hard. Some of it is high grade. Some of it is lower grade. Some of it has properties that impacts on recovery. So it's a question of getting material through the mill that is going to give us the best outcomes that we can achieve. As I said, the grade has picked up or, well, we put higher-grade material through in the last month and this month. And, we're carefully balancing this up on recoveries. Now, as we go forward, we're looking at that situation very carefully right now to see what is the optimum longer-term blending arrangements that we can come up with. I don't want to preempt the work of our guys, but we will be making some commentary around that in the not too distant future. But the issue is that we are getting - we are mining the gold at the higher grade. There is a fairly decent proportion of our run-of-mine stockpile that's carrying quite higher grade material at the present time. But it's a question of making sure that we maximize our production and minimize our operating costs. And that's why we're being fairly circumspect in our blending practices.
Reg Spencer: Okay. So, Jeff, what we should be expecting, so I'll use the term loosely, guidance in regards to future grade expectations at Edikan at some stage in the not too distant future, is that?
Jeff Quartermaine: That's pretty much what I said, Reg, yeah.
Reg Spencer: Yeah, okay, okay. Thanks. Second question is for Sissingué. Can you remind me what percentage of overall costs would be in local currency, and is that likely to impact your cost estimates in the DFS for Yaouré?
Jeff Quartermaine: What's the overall percentage? Like off the top of my head, I'm not a 100% sure. The mining contract, which is the biggest component I guess, is paid in CFA, so that is probably 40-odd percent of the cost base. And then you've got some salaries in it as well. So we're probably pushing a bit over around the 50% level, I would think. But I need to confirm that. Will it impact Yaouré? No, not to a great degree, I think by the time that the Yaouré feasibility study was done we recognized that some changes were afoot in terms of the fundamentals. So these are changes relative to the feasibility for Sissingué that was done in 2017.
Reg Spencer: Okay, I understand. And just one last question from me on Sissingué, the updated life of mine plan that you guys are looking to prepare, besides updated costs, unit cost estimates or assumptions, will you be looking at revising your mine plan such that we might see a bit more of a smoothing of the production over the life of mine?
Jeff Quartermaine: Yeah, we're looking at that. I mean, then - and there is the opportunity to do that with the introduction of what we used to call Bélé, it's now called Fimbiasso deposits. We had to change the name to keep the local villages happy. But, yeah, so that is something that will come through. The other thing that we'd like to be considering fairly carefully too is whether in fact our - some of our technical operating assumptions haven't been a little bit conservative. But we're getting very good technical numbers through now. But as I said in the call, it's very early days and it's sort of - well, it's tempting to positively revise some of those things. I think probably a little bit more operating experience before we move on to make those changes. But certainly, consideration will be given to that.
Reg Spencer: That's great. Thanks very much, Jeff.
Operator: Thank you. Your next question comes from John Macdonald from Hartleys. Please go ahead.
John Macdonald: Hi, Jeff. Just a quick one on the inventory build and working capital, so when you stockpile ore do you - does that increase your inventory and hence your working capital?
Jeff Quartermaine: Yeah, you get movements in your stockpiles, will impact that, John.
John Macdonald: So that is carried in working capital, yeah.
Jeff Quartermaine: That's right then.
John Macdonald: Right. Okay. Thanks. Just wanted to round that off.
Jeff Quartermaine: I think, John, if you talk to Elissa Brown, our CFO, she will give you a comprehensive rundown on how we specifically account for those if you're interested.
John Macdonald: Yeah. Now, that's great, fair.
Operator: Thank you. Your next question comes from Michael Slifirski from Credit Suisse. Please go ahead.
Michael Slifirski: Yeah, thank you. Jeff, congratulations on Sissingué. It's terrific to see project brought in efficiently so quickly. That's really terrific and, yeah, it absolutely endorses what you want to do in future, so well done. Three small questions, first of all with Edikan, maybe I'm trying to look for something that isn't there. But focus on the reconciliation, having overcome those prior challenges, that's great. But is the sort of ore hardness and differential metallurgical recovery understood as well as the grade distribution or we're perhaps indicating that work isn't as advanced, so I'm just trying to understand maybe I am looking for something isn't there.
Jeff Quartermaine: No, look. I think it is - it's very well understood these days. I have to admit it. It's - our level of knowledge has increased enormously over the years, because I think when the original planning for Edikan was done, there was not full recognition of the specific properties of the different ore bodies. And there was some fairly general assumptions made that have proven not to be the case. So look, as I said, I think that most of the variables are either under control or at least understood, understood where the issues are, and we're working with it. But it's a challenging situation. We're not shying away from that. But I do think the team is working extremely well. And it's managing those variables quite well actually.
Michael Slifirski: Terrific. Thank you. Moving on to Yaouré. A couple of things there. First of all, the conference around the Exploitation Permit, is that - is there a statutory timeframe given that those - recall some of the delays with Sissingué? And secondly, with respect to the fiscal stability agreement, if there any statutory timeframe there or is that something that could be faster than you expect, because of the precedent set by Sissingué or slower because I don't know, I'm just trying to get a feel of what that timing might actually look like?
Jeff Quartermaine: Well, yeah, just on the Sissingué issue. Actually getting the licenses issued and the like wasn't what took the time there, the time in terms of blowing ahead at full speed was more our confidence in our assessment of the project rather than the government. But in terms - coming to Yaouré, no, we're reasonably confident about it - there's no certainty, but while I was in Cote d'Ivoire, we did have a meeting with the Vice President and discussed all of these issues. The granting of the EP, the Mining Convention, et cetera, so those matters are under very active consideration now. And look, I'd be surprised if we don't get the EP issued fairly shortly. As to the Mining Convention, when we negotiated the Mining Convention for Sissingué that established the template for Cote d'Ivoire, and my expectation is that that template will be largely picked up, adjusted obviously to suite the very specific circumstances of the Yaouré. But we wouldn't anticipate any material delays in that coming forward. The government is as keen as we are to push this project ahead. So I think that while there will be things to be negotiated, I don't think there's going to be any unnecessary blockage in time.
Michael Slifirski: Terrific. Thank you. And then finally, with respect to guidance. The unchanged guidance great to see, what was assumed originally in terms of when Sissingué would be declared commercial? Has it been declared commercial as per what your expectation was in that original guidance?
Jeff Quartermaine: Yes, it was actually. We had always envisaged commercial production at the end of March. Now arguably, we could have declared at the end of February. But we decided to wait till the end of March to give ourselves a little bit more time to get more confidence in performance. So that declaration was pretty much on time. Sissingué is going very well. It really is. And as of course is Edikan. And - not that you can reliably do this, but if you look at what we have been producing for the first 13 days of the month, and project that forward, then we're well into the guidance range. Now clearly, for that to happen, for us to achieve it, we've got to - have no major unexpected incidents along the way. And obviously, we don't plan for those things. But sometimes, they do happen. But now, if we keep doing what we have been doing, then we should not have any issues around guidance. And clearly our team is very focused on doing that. This is something - this is a change particularly at Edikan from going back in the past, I think the team is extremely focused on achieving their targets these days. And every day, we manage the situation and we try to do better than the day before. So - now we booked at the guidance situation fairly carefully if we didn't think - if we didn't have confidence in our numbers, it wouldn't have left them unchanged. And we do like to plan for success rather than plan for failure. But we're reasonably comfortable that we're on song.
Michael Slifirski: Terrific. Thanks, Jeff.
Operator: Thank you. There are no further questions at this time. I will now hand back to Mr. Quartermaine for closing remarks.